Operator: Ladies and gentlemen, welcome to the Julius Bär 2024 Half Year Results Presentation for Media and Analysts. I'm Alice, the Chorus Call operator. [Operator Instructions] And the conference is being recorded. [Operator Instructions] The conference was not recorded for publication or broadcast. At this time, it's my pleasure to hand over to Mr. Nic Dreckmann, CEO at Interim; and Ms. Evie Kostakis, CFO. Please go ahead.
Nic Dreckmann: Good morning, ladies and gentlemen, and welcome to the presentation of our half year results 2024. I look forward to sharing my takeaways of the past couple of months, what we have achieved and more importantly, providing the context for what we will focus on in the remainder of the year. I'm joined by our CFO, Evie Kostakis, who will take you through the numbers after my introductory remarks. You will be able to follow our presentation on the screen, and the participants who dialed in over the phone will have the opportunity to ask questions at the end of the presentation. So thank you for being here, and now let's get started. As you can see from the numbers we released this morning, Julius Bär is clearly regaining momentum, thanks to a renewed focus on business generation after an admittedly challenging start to the year. The results of these efforts are reflected in our set of figures today. From February onwards, we have seen net new money inflows at a continuous rate north of 3% throughout the end of June, a clear recovery from a negative January, leading to total inflows of CHF 3.7 billion for the first half and CHF 3.9 billion, excluding deleveraging. We also saw stronger levels of client activity and the strengthening of our recurring revenues. This was offset, however, by higher interest expenses and thus, a lower contribution from net interest income effects that Evie will explain in more detail shortly. And this also led to a shortfall in operating income compared to the all-time high in the first half of 2023. Yet compared with the second half of 2023, operating income was up 8%, showing constant improvement in our recurring income margin. The cost/income ratio and profitability were supported by lower levels of provisions and by ongoing efficiency gains, balancing investments in growth. Both improved significantly from the underlying results reported in the second half of 2023. The cost income ratio lowered from 73% to 71% and net profit rose from CHF 406 million to CHF 460 million. Our strong CET1 ratio of 16.3% at the end of June demonstrates the capital generative nature of our business. The financial strength of Julius Bär is further evidenced by the quality of our highly liquid balance sheet, with a liquidity coverage ratio of 325%, one of the highest in European banking. With our performance in the first half of 2024, we have created the prerequisite to continue to drive long-term business growth and make our franchise even more efficient and fit for the future. What was important in the first half will continue to play a role in further driving our momentum. We have always and continue to place a strong emphasis on the quality of the individuals we add and the values they share with Julius Bär ahead of the number of people we recruit. In 2023, the hiring numbers were very high, having added a net 95 new RMs over the full year. In 2024, we have maintained strong hiring momentum even if not at the same level. I will provide greater detail later. This year, once again, the strength of our brand has allowed us to be selective when it comes to top talent. We're very pleased with our 21 additional new RMs that have already started in this first half year. And we continue to see momentum going into the second half. Let me add here that while the hiring of relationship managers is key, it's not the sole lever of our growth. Another is our exceptional and differentiating pure-play value proposition supported by state-of-the-art technology. Again and again, when I speak to our clients, they comment on the appeal of our value proposition, which continues to stand out from our peers. This allows us to remain close to our clients and successfully address their concerns and needs. This matters, especially during times of volatility and geopolitical challenges as we are facing today, and therefore, remains an important area of investment in growth. In these first six months, we have also made significant progress in delivering on our commitments announced on February 1. We have advanced in the orderly wind down of our private debt business. Our net exposure in the first half has been reduced by more than 20%. We similarly delivered on our commitment to strengthen our corporate governance and risk framework, including altering the respective governance committees responsible for credit approvals at both the Board and the Executive Board level as well as strengthening our framework for credit limits more broadly. We have also made notable headways in our cost efficiency program. After launching the cost program for the strategic cycle '23 to '25 in May 2022, with targeted savings of CHF 120 million, last February, we increased the ambition level to CHF 130 million. I'm very happy to report that we're actually ahead of plan here. We've achieved run rate savings of CHF 120 million already in the first half of this year. We believe that at this pace, we may even exceed our current target of CHF 130 million and reached CHF 145 million in savings by 2025. Last but not least, on the back of strong markets as well as superior investment performance, we also were able to increase recurring revenues. We've seen positive momentum with an increase of the recurring income margin to 38 basis points, up from 36 basis points in the first half '23. We continue to aim for 39 to 40 basis points by 2025. When we look at our cost/income ratio target, of below 64% by the end of 2025, there is further traction to be achieved both on the revenue side and the cost side. Achieving the target, we'll need some tailwinds from the markets but there is also some work on our end that still needs to be done. Before now handing over to Evie for the details, let me quickly recap. The figures we have presented today show that we are back on track. The momentum that we have been regaining is continuing well into the second half of the year, and we will continue to execute our strategy and continue along our sustainable growth path. I'll now pass it on to Evie to walk you through our results in greater detail.
Evangelia Kostakis: Thank you, Nic. Good morning, everyone. As usual, before diving into the results, I'll start on Page 7 with a bit of context in terms of the key market backdrop in the first half of the year. First, looking at the securities markets and foreign exchange. Stock markets were generally up. And while the U.S. markets again outperformed, the dispersion was much less pronounced than last year. Bonds were mainly treading water, down slightly, 3%, if you look at the Bloomberg Global Agg Index as a proxy. But an important development for our P&L was the weakening of the Swiss franc particularly against the U.S. dollar, which strengthened by 7%, while the euro not shown on the chart also strengthened in sympathy to the tune of 4%. Contrary to consensus expectations at the start of the year, U.S. interest rates did not yet come down. However, we did see the first rate cuts elsewhere with the Swiss National Bank delivering two consecutive 25 basis point cuts to 1.25% and the ECB, a 25 basis point cut to 4.25%. The third set of graphs shows that the key yield curves remained inverted, although the inversion is now less pronounced than at the start of the year. However, the yield curve inversion did not materially improve yet. Finally, stock market volatility spiked in April before falling down back to lower levels again in May and June. Moving on to Slide 8, which shows assets under management up 11% to CHF 474 billion, helped by the strong equity markets to the tune of CHF 28 billion and the weaker Swiss franc to the tune of CHF 21 billion and by close to CHF 4 billion in net new money. In May, we completed the sale of Kairos with AUM of CHF 4.8 billion, which was the main factor within the CHF 5.4 billion AUM decrease related to divestments. Monthly average AUM, important for the margin calculations, grew by 5% year-on-year. And if we include the CHF 91 billion in custody assets, total client assets grew by 10% to CHF 564 billion. Moving on to net new money on Slide 9. As we mentioned already in the interim management statement in May, net new money went off to a slow start in January, but improved meaningfully thereafter, resulting in net flows of CHF 3.7 billion by the end of June, representing a growth pace for the full period of 1.7%. However, the growth pace after January was just over 3%. In terms of regional contributions, I would highlight the U.K., Germany and Spain and Europe, India and Singapore in Asia and the UAE and the Middle East. The RMs, we welcomed onto our platform in 2023 continued to track in line with our expectations, meaning that the pressure on flows came rather from the more seasoned RMs on our platform. The impact of deleveraging diminished towards the end of the period with an impact of just CHF 0.2 billion year-to-date. However, at this point, with yield curves still by and large inverted, we feel it's too early to make a call around releveraging despite the fact that lending penetration is at a multiyear low. That said, we are quite encouraged by the continued momentum inflows in the first 3 weeks of July post the half year close. So let's turn to revenues on Slide 10. At CHF 1.95 billion, revenues recovered nicely by 8% or CHF 148 million versus the second half of last year. But on the usual year-on-year comparison basis, revenues were down 4% or CHF 85 million from the record high level achieved in the first half of 2023. What drove this development in short, gains from recurring income and client activity gains were offset by higher interest expense. This will become clear when we go through the items line by line. Net interest income declined by 52% to CHF 223 million. While interest income on loans and on the treasury portfolio went up year-on-year, thanks to higher rates. That benefit was more than offset by a rise in interest expense on deposits due to a further shift by clients into term and call deposits as well as higher interest expense on amounts due to banks as we further diversified our funding base. Net commission and fee income grew by 14% or CHF 130 million to almost CHF 1.1 billion, helped, of course, by the rise in client assets, but also by a further shift towards recurring fee products leading to recurring income growing twice as fast as average AUM as well as higher client activity. Finally, net income from financial instruments at fair value through profit and loss improved by 7% or CHF 41 million to CHF 638 million, helped by significant increase in activity-driven income, which outstripped a slight decline in treasury swap income following a small drop in swap volumes. Other ordinary results decreased by CHF 6 million to minus CHF 2 million, impacted by the CHF 16.5 million loss related to the sale of Kairos, which we booked in May after the IMS. And of that CHF 16.5 million, CHF 11 million were cumulative FX translation differences that were recycled to the P&L. Underlying net credit losses went up by CHF 9 million to CHF 7 million, as we had net recoveries of CHF 2 million in the first half of 2023, this was also booked after the IMS, i.e., in line with the long-term average cost of risk of 4 basis points, which you will find in Slide 37 of the appendix. Turning the page to Slide 11, where the gross margin analysis shows the key moving revenue parts in a slightly different way. The gross margin came to 85 basis points in the first half, recovering from the 82 basis points underlying gross margin in H2, but 8 basis points below the multiyear high level of 93 basis points that we reached a year ago. On the top left-hand side, we show the gross margin in line with the customary IFRS reporting split. However, in the bubbles below the main graph on the left, we have again stacked the components in a way that ties them more clearly to the main business drivers. So by combining NII with treasury swap income or what we like to call quasi NII, one clearly sees a further decline by 6 basis points down to 24 basis points in total interest-driven income, below our own expectations back in February, and I'll come back to this on the next slide. On a positive note, the recurring income gross margin picked up by 1.5 basis points to almost 38 basis points, which is important as we are targeting to get this number up to at least 39 basis points by 2025 and hopefully even more. The other good development is clearly from the activity-driven components, which improved by 4 basis points year-on-year to 24 basis points, 9 basis points higher than the multi half year low print in H2 of last year. On Slide 12, we show our updated rate sensitivity analysis. Sequentially, I compared to the second half of 2023, the interest-driven gross margin dropped by 6 basis points to 24 basis points with the NII margin down minus 7 basis points and the swap margin up 1 basis point. That 24 basis points was well below the 30 basis points guidance we gave in February. So I want to briefly guide through where our assumptions did not play out in practice. I think it's important to reiterate that our guidance is based on a stable balance sheet size, stable balance sheet structure and stable assets under management. So starting with the last point. The fact that AUM grew much faster than the balance sheet in and of itself had an impact of around minus 1 basis point. Secondly, there was a shift in the loan book, 2.5 basis points versus our initial expectations. As the wind down of the private debt book went off to a better start than we had anticipated and because there was a relative shift, mix shift towards lower-yielding Swiss franc loans. And thirdly, the further terming out of deposits had an impact of around minus 2 basis points. Now looking forward to our estimated sensitivity from here. Our direct sensitivity to rate changes continues to be essentially neutral because right now, the impact on NII will be balanced by an equal opposite impact on swap income. So if we assume, as we do, no major changes to the balance sheet structure, which I think is not an unreasonable assumption from where we stand today. No major change in speed and balance sheet growth relative to AUM growth, continued positive rollover effects of the treasury portfolio and from here, only very limited further shifts into call and term deposits, then an interest driven gross margin level of around 24 basis points appears well supported for the second half. Now let's turn to operating expenses on Slide 13. Costs were up 1% or CHF 56 million year-on-year to CHF 1.39 billion as our further investments in growth were balanced by lower provisions and by an acceleration of the cost program. I'll come back to the cost program in the next slide. Personnel costs rose by 4% to just over CHF 913 million as the impact of the 7% year-on-year growth in average number of staff was partly offset by lower performance-related remuneration. General expenses were down 7% at CHF 366 million, helped by a CHF 47 million decrease in provisions and losses. Excluding provisions and losses, general expenses went up by 5% to CHF 354 million. This latter increase was driven predominantly by a rise in professional service fees and IT-related expenses. Depreciation fell by 2% to CHF 49 million, while amortization went up by 13% to CHF 66 million, following the rise in capitalized IT-related investments in recent years. So with the expense margin stable year-on-year, it's clear that the year-on-year drop in gross margin and in revenues was the main driver behind the year-on-year increase in the cost-to-income ratio to 71%, which means we have to remain vigilant on costs, and we'll need some help from the market environment in order to close in on our 64% cost-to-income ratio ambition in 2025. On Slide 14, we provide an update on our cost savings program. As you may recall, we had originally announced a gross cost savings program for the '23, '25 cycle of CHF 120 million to help fund additional technology and growth investments. Last February, I presented a detailed update. And at that time, we increased the target for this program to CHF 130 million on a gross basis. In the meantime, we've executed well. We are quite confident that we might be able to exceed that CHF 130 million target. Based on current projections, we may well get to CHF 145 million in 2025. On a run rate basis, we were already at CHF 120 million at the end of June, and we'd be able to get to CHF 140 million on a run rate basis by the end of the year. With the estimated restructuring costs only slightly higher at CHF 24 million this year versus a previous estimate of CHF 20 million. Slide 15 summarizes the profit development. Pretax profit came down by 15% year-on-year to CHF 551 million, and the pretax margin dropped by 5 basis points to 24 basis points. The tax rate went up slightly to 16.5%, right in the middle of our guided range, driven by a larger share of profit from higher tax jurisdictions, resulting in a 15% decrease in net profit to CHF 460 million and a return on CET1 capital just shy of 30%. Our tax guidance is still the same as it was in February. With the OECD minimum tax rate starting to kick in, our current guidance for '24 is for an adjusted tax rate between 16% and 17% and potentially somewhat higher than 17% from next year. Moving on to the balance sheet on Slide 16. Our balance sheet remains highly liquid with a loan-to-deposit ratio of 63% and one of the highest liquidity coverage ratios in Europe at 325%. As large portions of the balance sheet are denominated in other currencies, especially dollars and euros, the year-to-date strengthening of those currencies against Swiss franc had a meaningful impact on how those balance sheet items developed in Swiss franc terms. For example, the loan book grew by 8% or CHF 3 billion to CHF 42 billion, but on an FX-neutral basis, the increase in loans were short of 5% or CHF 1.8 billion. And deposits grew by 5%, also CHF 3 billion to CHF 66 billion, but on an FX-neutral basis, the development was essentially flat. Within deposits, clients' cash continued to shift from current accounts into the term and call deposits, which now make about 65% overall due to customers' position up from 63% at the end of 2023 and from 56% a year ago. The treasury portfolio at CHF 17 billion stayed where it was more or less of which 1/3 is now measured at amortized cost. A quick update on the wind down of the private debt loan book. As we communicated in February, we expect to be able to wind down the book from CHF 0.8 billion at the end of 2023 to CHF 0.1 billion at the end of 2026. This process is clearly on track with the book having shrunk by CHF 0.2 billion to CHF 0.6 billion at the end of June. The wind-down is executed in a consensual manner with our clients, thereby keeping the related AUM outflows rather limited. In fact, if you refer to the top 10 exposures we showed you in February, all 10 have come down with the second largest exposure reducing materially, meaning an overall less concentrated remaining portfolio. Turning to capital development on the next slide, Slide 18. Since the end of 2023, CET1 capital grew by 10% to CHF 3.3 billion helped by the solid profit generation and the continuing benefit of the pull-to-par effect from our treasury portfolio. At the same time, risk-weighted assets decreased slightly by 2% to CHF 20 billion. As a result, the CET1 capital ratio improved from 14.6% to 16.3%. On the right-hand side of the slide, you see the OCI pull-to-par development in H1. The pull-to-par tailwind was a bit lower than guided for, given that the bond market came down slightly with a 5-year treasury at year-end at CHF 384 million, discounting several Fed rate cuts and moving up to a level of around CHF 433 million by the end of June, so 50 basis points more or less higher. The positive other side of that coin is, of course, that this means there's a larger benefit still ahead of us. We currently expect based on the linear estimate that of the remaining CHF 329 million, around 26% will come back in H2, 37% in 2025 and the rest after 2025. Risk density came down to 20% at the end of June. Our current best estimate is that this will still be around 20% by year-end, just based on expected business development. But then immediately after year-end on January 1, this would increase straight away to somewhere between -- or somewhere around 22% as Basel III final kicks in, in Switzerland, i.e. an impact of around two percentage points. There are still some uncertainties in there and which we'll have more clarity by year-end, obviously, but an impact of around two percentage points seems reasonable from today's perspective. Finally, a quick review of the improvement in the Tier 1 leverage ratio on Slide 19. As a result of the CET1 capital development, Tier 1 capital increased to CHF 5.2 billion. The leverage exposure rose by 6% year-to-date, essentially in line with the growth in the size of the balance sheet. And as a result, the Tier 1 leverage ratio improved further to 5%, very comfortably above the regulatory floor of 3%. And with that, I now hand the microphone back to Nic.
Nic Dreckmann: Thank you very much, Evie, for all those insights. My goal now is to take you briefly through the key vectors that going forward will further support our growth and efficiency. And let's start with hiring. As clearly visible on this graph, we're continuing on the momentum started last year. Even if, as I said before, we do not only set quantitative goals but put quality first. As I referenced at the start, we added 21 new RMs in the first half of the year, which to be clear, excludes the 20 relationship managers from our sale of Kairos. Looking forward to the second half, our pipeline remains strong and we aim for up to 60 net hires by year-end. We can afford to apply high scrutiny in selecting the most promising prospective candidates and the ones with the best cultural fit. Equally important, to our external hiring efforts is our ability to sustainably develop and promote relationship managers from within the organization. Here, our Associate Relationship Manager Development Program continues to bear fruit, and I expect this to accelerate in the coming years. In summary, I'm very confident in the strength of our team and our cadence of attracting and developing new relationship managers. But let's be clear, we do not see relationship manager hiring or training as the sole catalyst for growth. This is simply one angle. We also remain very focused on our existing relationship manager population. It is not only about hiring and then letting them run on autopilot. We want to ensure that we optimize the potential of our full relationship manager force. We're doing this with an ongoing and proactive assessment on how we're enabling RMs to deliver. This includes providing the necessary tools and capabilities to succeed a broader effort to institutionalize coverage with wealth planners, investment specialists and credit experts as well as ongoing recalibration of compensation and incentive schemes. While early days, initial results suggest that the steps we're taking to increase the rate at which new relationship managers achieve their business cases are promising. Our ambition level is to make the business case achievement rate even higher than 60% and one of the highest in the industry. And it does not end with new hired relationship managers, but involves the ongoing activation and enablement of all our 1,344 relationship managers and the teams that work with them. Finally, our focus on quality includes regular stringent performance management that enables us to maintain the highest standards. In summary, in the first half 2024, we have been particularly focused to ensure our front teams, the relationship managers, the product specialists and the assistants are supported to serve our clients best. And the base for that, obviously lies in our holistic wealth management approach. This leads me to how we're constantly improving and tailoring our offering to today's dynamic wealth management environment to ensure that what we offer truly resonates with the needs of our clients. If I look at our most recent client survey, where 88% of our clients have suggested they are either extremely satisfied or very satisfied. I think we're doing a good job, but there is still 12% to go, and we know which levers we can pull. The wealth landscape is experiencing meaningful change in recent years, driven by shifting demographics, political uncertainty, evolving technology and regulatory standards. We have to be ahead of the curve by preempting our clients' changing needs with bespoke, regional and best-in-class solutions and products. We stand out in the competitive wealth management market, thanks to our pure-play business model, an exclusive focus that attracts clients and helps us to retain them. This incorporates our holistic approach with the three elements of wealth management in its purest form, wealth planning, investment management and wealth financing solutions. So let's look at them one by one. Starting with wealth planning. It is key as we face political volatility in many of these markets we operate in. And I think most would agree that we can add more and more countries in the bucket of politically volatile jurisdictions these days. Clients are seeking guidance on this volatility and how it is impacting them. Wealth planning is also crucial to grow long-term relationships as we head towards the greatest wealth transfers of all times according to various reports, while life expectancies of our clients increase. We're equipped to address both these topics with our specialized front wealth planners spread around the globe. In addition, starting in Switzerland, we're rolling out a digital 360-degree planner that allows our relationship managers to systematically capture and deliver on the individual wealth planning needs of our clients. The aim of this 360-degree planner is to start meaningful conversations, thereby collecting data to propose relevant solutions and long-term guidance. The second pillar of our offering is the core competence of our award-winning investment management. Without having compromised on our open architecture approach, today, we have an array of in-house managed investment strategies with an outstanding track record run by a very stable investment management team. We continue to develop our range with innovative products that cater to the needs of specific client segments or markets. This is in line with our strategy of increasing recurring revenues. Examples of our new targeted product launches include our cross-generational asset allocation strategies for ultra-high net worth clients aimed at higher income and longer-term growth with the inclusion of alternative investments such as hedge funds and private market assets. We also just launched a Global Excellence mid-cap fund that raised more than CHF 500 million in seed funding, a proof point of our ability to activate our client base with a very relevant products. Moving on. Wealth financing remains a core part of our offering. Following February 1st, we emphasized our focus to our successful Lombard and Mortgage lending business with a historically low cost of risk. This will remain not only a core part of our business, but also one we have been and will be growing in future. In parallel, our additional services and support also pays an important role to deliver what clients need, including direct access solutions for family offices and external asset managers. And as part of our digital services today, we offer, for example, digital onboarding for clients in more than 30 jurisdictions, one of the first steps in creating seamless client journey in a secure, convenient and legally compliant manner. My last slide touches on technology, an area of great importance in our strategic investments into future growth. You will recognize the key elements of this slide from previous years. All starts with our investments tailored to improve the clients' experience and convenience providing an omnichannel solution with the right mix of personnel and digital touch points. As the wealth manager of choice for the current and next generation of clients, we strive to offer them best-in-class digital banking services that further improves our high-touch approach. Highlights during this year included the launch of new e-banking and mobile banking solutions for clients in Europe, as well as the introduction of our e-signature solution in Switzerland and in Asia. The next layer is operating leverage we create by delivering the necessary tools and Gen AI capabilities for relationship managers. They are designed to drive a more customized and holistic advice proposition while simultaneously scaling their capacity for increased coverage and coping with an increasingly complex regulatory environment. Last, and this is the foundation we continuously work on the efficiency of our operations here. We progress on modernizing our core infrastructure whose primary goal is improving and ensuring the bank's long-term operational resilience as we serve more clients meet increasing regulatory demands and to better harness our proprietary data and analytics to provide customized advice at scale. Across all this entire technology value chain, we are ensuring the highest level of data quality, integrity, availability and security to protect our clients and ourselves. Technology is, therefore, at the heart of our business. It is the key to efficiency, growth and client satisfaction alike. Before opening up to Q&A, let me summarize our key priorities for the second half of the year. First, sustained net new money generation. Our run rate from the last five months has been strong, and we expect this to continue to materialize in the second half. This will be driven by recent year RM hires, beginning to deliver on business cases and our focus to driving incremental wallet share of our existing client base. We will also continue to build on the superior enablement of our front-facing employees, enhancing data-driven decision-making and facilitating processes by addressing pain points in client onboarding and service. This will enhance the client experience but also to help new joiners in achieving their business cases. Although difficult to predict, a more favorable macro backdrop down the road with a re-steepening of yield curves could potentially provide further tailwinds but we certainly will not want to rely only on those. Second, continuing our RM hiring momentum. Our hiring pipeline remains strong, and the traction of our brand both with clients and with the sector places us in an enviable position, and we can afford to focus on quality; three, execute on the cost initiatives. We've already more than delivered on what we've communicated to you at the beginning of the year, and we continue to proactively assess potential additional levers for increased efficiency. Our successful progress in this area allows us to continue to balance the measured investments we continue to make into future growth. And number four, streamline our business proposition. We've made meaningful progress in simplifying our business proposition in recent months. For example, with the sale of Kairos completed in the first half and the wind down of the private debt business. All steps that create a stronger focus on our core competence. We will continue to review our capabilities to ensure that we are proposed built for the purest form of wealth management. We're going into what probably will be a choppy second half of 2024 with great confidence. Thanks to our existing team and our unique and solid franchise that has again and again shown its strength, resilience and ability to generate capital. And finally, I would like to take this opportunity to also welcome Stefan Bollinger, our designated CEO. He is an experienced banker and wealth manager. And in the meantime, I will remain in this role and together with the full team, we will continue to drive the implementation of our strategy and value proposition. And with this, I conclude and thank you for your attention. And we're now ready to hand over to the phone lines for the Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Kian Abouhossein, JPMorgan. Please go ahead.
Kian Abouhossein: Yes, thank you very much for taking my questions. First question is related to buybacks. Can you talk about the process of the share buybacks going further, considering that the capital is very strong and not an issue, so what other detailed events that will have to unfold in order to discuss buybacks and timing of buybacks? The second question is related to marrying Slide 12 and 16, your outlook for NII and your balance sheet mix. Can you describe in a little bit more detail why you're assuming no material changes in the mix of term and call deposits? Also, how should we think about the ongoing reduction and acceleration of the private debt book and also the lower yielding Swiss franc lending if you can discuss why that is happening? And also what do you expect going forward, i.e., why you so confident around your second half outlook on NII being stable? Thank you.
Evangelia Kostakis: Thank you very much, Kian, for the questions. Let me start with your second and third question, and I'll pass the first question on share buybacks over to Nic. So in terms of the balance sheet mix, I think we've seen quite a bit of terming out of the deposit base. We have about 65% of the deposit base that has already termed out. So we don't anticipate further major changes when we cast our eye down to the second half of the year. But of course, we don't have a full crystal ball from where we sit today, we don't anticipate major shifts. Now you wanted a little bit more color on the interest-driven income drop from 30 basis points to 24 basis points and I'm happy to provide that for you. So on the asset side, we had minus 1 basis point impact from the private debt wind-down acceleration. And we had another 1.5 basis point shift from mix shift in loans. It so happened that we had more loans disbursed in Swiss franc which is lower yielding than dollar loans, which are obviously higher yielding and euro loans, intra year. The second impact on the asset side is that cash balances with central banks came down, which had an impact of interest income on due from banks of about 1.5 basis points. However, this was partly offset by higher income from the treasury portfolio to the tune of 2 basis points. So I'm going to call that a wash. We also diversified our funding to a certain extent, which you can see coming back in an increase in interest expense on due to banks. So that's about 2 basis points. But this was basically fully mirrored by additional treasury swap income of 2 basis points. So I would call that a wash too. So to summarize, if you look at the 6 basis point drop, I would say, one is the fact that the AUM grew faster than our balance sheet. So that's a basis effect. Then we had the combination of the shift in the loan book and the private debt portfolio, that's another 2.5 basis points versus our initial expectations. And thirdly, the further terming out in deposits of around 2 basis points, which we were not anticipating in the first half of the year. Nic?
Nic Dreckmann: Thanks. On your first part of the question around buybacks as well as the timing. I'd like to refer back to what we communicated also as of February 1, where we said that the Board of Directors may decide for an off-cycle buyback still in the second half of the year, and I think we'll remain at that for the time being, that's the current view.
Kian Abouhossein: Thank you.
Operator: Our next question comes from the line of Máté Nemes, UBS. Please go ahead.
Máté Nemes: Thank you very much. I have three questions, please, three set of questions. The first one is going back to the interest-driven component of the margin. I was wondering if you could talk a little bit about to what extent do you see Scope 4 perhaps reducing deposit rates once the rate cuts start coming through in the U.S. and continue in the Eurozone? I am -- I'm wondering what is the expected, I guess, terminal margin level once rates settle around the level supplied by the forward rates. That's number one. That's perhaps in '25, '26. The second question would be on Lombard loans. If I'm not mistaken, these increased by about CHF 3 billion, could you give us a sense of what's been driving that? How much of that is FX? Any color on that would be helpful. And the last question would be on A Tier 1. There is A Tier 1 coming up for call in the next couple of months. Could you give us your thoughts on what you intend to do with that call or keep. Anything on that would be helpful. Thank you.
Evangelia Kostakis: Máté, let me try and tackle them one by one. So in terms of the interest-driven component and the outlook going forward, obviously, as soon as rates start coming down, we will see that as a benefit coming into our P&L particularly on the dollar and the euro side, and the euro side of things. So I think the fact that we have a deposit overhang, there is quite helpful, and our deposits should reprice accordingly. On Lombard loans or loan book in general, including mortgages, the CHF 3 billion increase or 8% was actually CHF 1.8 billion increase or 5% on an FX-neutral basis. And on the A Tier 1, as you know, we don't comment on forward-looking call decisions. Our long-standing policy is to consider the market environment, the cost of refinancing and also the regulatory value of this particular type of capital instrument. What I can do is point you to our historical decisions around calls of A Tier 1s and also point out that should we decide to go down that route, we will give advanced notice of 30 days.
Operator: The next question comes from the line of Anke Reingen, RBC. Please go ahead.
Anke Reingen: Good morning. Thank you for taking my question. I just wondered on the exit gross margin, which I calculate CHF 78 million, CHF 79 million. What's the interest-related margin in that exit margin? And I mean, you made the point that is 24 basis points on a stable balance sheet, but you told us that the private debt booked will run down. So what -- should we assume a similar headwind from the private debt rundown that you experienced so far? And then secondly, on the relationship manager numbers. So I mean you hired 35 at the end of April, and obviously, Kairos, that would suggest there are some departures as well in the first half? Are you sort of like concerned in terms of your impact on net new money and in terms of the dynamic of net new money growth in the second half? Thank you very much.
Evangelia Kostakis: Thank you, Anke, for the questions. So first of all, on the exit margin, I think back in February, we quantified the impact of the run rate wind down of the private debt portfolio, around CHF 70 million of NII once it's fully wound down. And of course, let me remind you that that's 100% risk weighted. So capital will be freed up to be reinvested otherwise. In terms of the exit gross margin in May and June, your calculation is correct. However, you have to probably take out of that, the effect of Kairos. So excluding that, it's about 81 basis points. And in May and June, interest driven income was around 23, 24 basis points. I think that's the number you asked for. Our guidance for the rest of the year for interest driven income of 24 basis points, obviously includes our current assumptions around accelerated wind down of the private debt portfolio. And now with respect to relationship managers, let me comment on that. So if you exclude the 20 relationship managers that we divested from Kairos, the net increase was 20 RMs as Nic noted it in his presentation. We've signed on another CHF 24 million as of the end of June, we haven't yet started. The outlook for the full year is a net increase of around CHF 50 million or so or even a little bit more. On a gross basis, we've hired 75 already this year. But let me point out the following. The proportion of relationship managers on a business case as of the end of June stood at around 22%. If we look at our current hiring pipeline and where we expect to land by year-end, the proportion of relationship managers on business case will be around hedging around 27%. And that's the highest proportion of RMs on business case as a proportion of the total population that we've had since 2019. So with that in mind, and of course, not forgetting the contribution of the seasoned RMs that we have on our platform, we are quite optimistic about net flows in the next several quarters.
Nic Dreckmann: Next question.
Operator: Thank you. The next question comes from the line of Jeremy Sigee, BNP Paribas Exane. Please go ahead.
Jeremy Sigee: Morning. Thank you. You referred to the cost income target for 2025, I don't think I'm seeing the normal financial target slide in the pack that you normally include. But are those targets still valid? And do you still think you can reach them? That's my first question. And then my second question is still on this question of the gross margin. And picking up on Anke's point about the gross margin coming down from 89 bps in the IMS to 78 bps. Could you just talk us through -- I mean, part of that might have been net interest income, but what else was driving that collapse in the gross margin? I mean was there a big slump in the transaction income? Could you just talk a bit more about what collapsed in the gross margin in May, June?
Nic Dreckmann: Thank you for the question. Maybe I'll start with the targets in general and then Evie can comment further on the gross margin. Yes, we continue to hold on to our targets communicated for the end of 2025. And I think we're making good progress in most of the aspects. In terms of the cost income ratio that you specifically point out, yes, Here, the path to the target starts to narrow down. Obviously, there is lots that we need to do on the top line as well as on the bottom line and a little bit of help from markets, obviously, is there as well.
Evangelia Kostakis: On your question, Jeremy, thank you for the question on gross margin, maybe I can give you a little bit more color. So if we look at the breakdown, obviously, we had in the 4-month IMS, activity-driven income was quite strong. We had a little bit of a slowdown in May and June. So that was about 2, 3 basis points. And that you can see is consistent with the dramatic drop in volatility post April. Interest driven income was around the levels where it was in the IMS, maybe less than a basis point lower. And don't forget that we deconsolidated Kairos with respect to recurring income. So I hope that gives you some color. Looking forward, I think if we take the 38 basis points of recurring gross margin, which you know we're working full throttle to increase to 39, 40 basis points. And we take the 24 basis points of interest driven margin guidance that we just gave as given, the wild card if you will, is activity-driven income. What I can say is just from the first few weeks of July that volatility seems to have picked up, brokerage volumes are doing well. I don't have a crystal ball but I don't suspect that we will revisit the lows we saw in the second half of 2023. Next question?
Operator: The next question comes from the line of Vishal Shah with Morgan Stanley. Please go ahead.
Vishal Shah: Hi, thanks for taking the questions. Firstly, can you give us the exit margin on the fees as well, I think you've already given for NII for the other line items, i.e., on the swap brokerage and the trading income. And another question is to follow-up on the RM side. Clearly, you had a target of hiring net 65 RMs at the full year results, now it's come down to 50 to 60 RMs. Can you explain what's driving that conservativeness? And a bit of color on the competition in the market around that. And I think lastly, if you could give us some color on trends in Asia. How are you seeing the Lombard development or the lending development because it looks like on a net FX basis as well, the Lombard book is grew. So should we consider that as a bottom in the trend and the reversal from here on? Or how do you see that? That's all questions.
Evangelia Kostakis: Thanks, Vishal, for the questions. Let me start with the third one on Asia. We've seen releveraging come back from -- in Asia. Although I would -- I think it's too soon to call this a complete trend reversal. We are looking for a re-steepening of the yield curves before we can make confident statements around releveraging coming back full throttle. In general, we remain structurally -- we remain structurally very positive on Asia. In fact, the bulk of our RM hiring has centered on our Asian franchise in the first few months of the year.
Nic Dreckmann: Yes. Maybe let me add a bit more color on -- in particular, on the RMs and on the slight revision to 50 to 60 RMs net to be hired until the end of this year. I mean first, what's important to mention, we have not seen a slowdown in our hiring pipeline and also not in the quality of the candidates we're talking to. That's number one. Number two, I think as mentioned already before, we continue to do quite an extensive performance management also when it comes to existing bankers. And equally so, obviously, quite a detailed effort in terms of making the business cases ratios -- success ratios basically to go above and beyond the 60% that we're currently trailing around. So in that sense, overall, I think we're quite positive and confident that we can reach this goal. And more importantly, that these relationship managers will afterwards also be in a position to deliver according to the plan.
Evangelia Kostakis: Let me take the question on the gross margin. So transaction-driven commission exit margin May to June was around 10 basis points and treasury was around -- treasury swap income was around 15 basis points. Next question?
Operator: The next question comes from the line of Stefan Stalmann with Autonomous. Please go ahead.
Stefan Stalmann: Good morning. Thank you very much for taking my questions. I would like to go back to the net interest income question, please. But looking at it more from a balance sheet perspective, not from an AUM margin perspective, your deposit yield that you paid to your deposits went up by 22 basis points in the first half '24 versus second half '23. That's quite a material increase that can probably not be explained by a relatively modest change in the call in term deposit penetration. Could you shed any more light on why your deposit pricing has gone up quite materially? And also, is it fair to say that maybe you have heard on the side of being generous with your deposit rates over the last 6 months to maybe keep clients in or maybe attract deposits into the bank during a relatively unsettled period? And the second question goes back to the question, I guess, of cost income, your revenue, as you showed, it down 4% in the first half of the year. Your adjusted expenses, excluding valuation allowances up plus 4%. So there's quite a lot of negative operating leverage. And I haven't really heard anything substantial to tackle this. At what point do you think you would consider further cost measures? Or is there something very tangible on the cost on the revenue side that you think will basically improve operating leverage materially in the next, let's say, 12 to 18 months? Thank you.
Evangelia Kostakis: Thanks a lot, Stefan, for the questions. So first of all, on the deposit side, I wouldn't call it earning on being generous, I would just say that there's been higher competition for deposits in general. And a year, you see the read across from other peers as well, particularly from the larger banks and the ones that have 90-day LCR requirements, but I think that competition is easing.
Nic Dreckmann: And maybe on the cost-income ratio and the revenues as well as the costs. Maybe allow me to make a few comments here and starting with the cost base. As mentioned, I think the cost program and the efficiency program we put in place, we have been accelerating and front loading a lot of these measures, which obviously will help us and kick in or the full, let's say, breadth and depth of it will continue to kick in second half of this year and obviously also going into '25. Having said that, nevertheless, we continue to obviously look at cost quite diligently in particular, also at general expenses around potential additional measures. And then secondly, obviously, there is also the revenue line, which equally can make or will make a difference where, as mentioned before, around products and services. We have seen quite some good traction, some good pickup and obviously, volatility there being helpful in order to seize opportunities for our clients as well. Maybe next question?
Operator: The next question comes from the line of Nicholas Herman with Citi. Please go ahead.
Nicholas Herman: Yes. Good morning. Thanks for taking my questions. Just with your 24 basis points interest margin guidance, sorry, just curious how that compares to the long-term history. I guess apart from 2019 to 2021, that seems to me to be below that long-term average, which I guess it seems a bit counterintuitive in the higher rate world. So just curious how you conceptualize that, please. I'd be interested in your thoughts there. Second question on net new money, apologies if missed, but what proportion of your net new money or how much net new money came from new hires and from 2023 hires? And what proportion of your new hires are on track? And then finally, on M&A. Could you please remind us what Julius Bär's M&A criteria are, please? And as part of that, obviously, bigger deal would obviously consume more capital. In that scenario, with execution risk, do you think it makes to maintain a larger buffer to 11%? Or just curious, again, how you think about capital management in those scenarios. Thank you.
Evangelia Kostakis: Thanks a lot, Nicholas. So on the 24 basis points interest driven gross margin, yes, if you exclude the years you referenced I would say it's near the lower end. If I look a little bit down the road, obviously, we have a large proportion of our deposit base that has termed out. So if rates start coming down, that will be obviously a tailwind, we have a higher proportion of deposits than we have loans. The duration of the treasury portfolio is quite short, but it's still 1.5 years. So it will reprice slower, I think, eventually than the Lombard loans. So I do believe that at some point, also when yield curves begin to re-steepen, we're going to see an increase in loan penetration, particularly on the Lombard side, which is at a multiyear low. Therefore, looking past the next one or two quarters, I think NII should eventually start to recover as a proportion of total operating income. Now with respect to net new money and the contribution of new hires, almost all of the net new money came from new hires. I think I mentioned in my opening remarks that we had some outflows from the seasoned RMs, which we're obviously working on to best enable them and support them so that they contribute as they have done in years past quite consistently to the net new money generation of the firm. And in terms of M&A criteria, this has not changed and neither as the way we think about capital distribution and capital, 11% does still remains the floor. We never want to go below and the criteria are consistent with what we've detailed in the past. So cultural fit, very strong industrial logic double-digit EPS accretion on a fully synergized basis and a return on invested capital above our cost of equity. Thank you. Next question?
Operator: Next question comes from the line of [John Reddell], Reuters. Please go ahead.
Unidentified Analyst: Yes, thanks for taking my follow-up. I know you're probably not going to want to comment on the share price, but the investors have taken a bit of right at the figures today being concerned about the downturn in profit, no share buyback and still relatively weak net new money. I mean how could you -- how -- what's your message to them? Or how would you reassure them moving forward, this is a temporary blip or that you're going to turn this around, please? Thank you.
Nic Dreckmann: Thank you very much. Let me take that question, and you understand that I will not comment on the share price movement at that point in time. But I think what is important to mention here is that we clearly have seen a regaining of momentum with a strong growth in the asset base. The recurring revenues have been rising, as I said, also the client activity has been picking up quite significantly and continues also beginning of July. And in that sense, we are and continue to be a highly capital generative company. And I think that gives us confidence going into the second half of the year that we can obviously execute against our strategic ambition, as mentioned before. Next question.
Operator: The next question comes from the line of Hubert Lam, Bank of America. Please go ahead.
Hubert Lam: Hi, good morning. Thanks for taking my questions. I've got three remaining ones. Firstly, on net new money growth, I know it's a 3% recently. Are you happy with that number? How do you see net new money growth growing over the last -- over the next 12 months as hiring comes through and there's less deleveraging going forward? That's the first question. Secondly, on M&A, would you consider doing M&A to increase your scale? Just wondering if you believe you have enough scale, particularly against your biggest competitor now? Or do you need to have scale to be more competitive going forward? And lastly, on the FINMA investigation, can you just -- any sense in terms of timing when that's included? Any potential impact you see coming from the outcome from that investigation? Thank you.
Evangelia Kostakis: Thanks, Hubert. So I'll take the first question on net new money. 3% is obviously not a number we're fully satisfied with. However, we do believe that as the proportion of RMs on business case increases towards the end of the year and reaches a multiyear high, that should provide tailwinds for that number to go in excess of 4% for next year. So even a little bit above 4%.
Nic Dreckmann: Around the second question around scale. I think scale matters, obviously, in our business, and therefore, growth is important for us. As I mentioned before, we have been investing quite a lot in bankers last year and this year, and we'll continue to do so. So clearly, organic growth and making these investments work are at the forefront of our actions and everything that we do. But clearly, M&A is just a means of growing as well, which we have been doing in the past. And then a few comments around FINMA's investigation. As said also earlier today, I think we have been looking at last year's events. We have been doing a diligent analysis internally and with external health. And we continue to work also with all our regulators, not only FINMA in collaborating this. We believe, by the second half, these analysis will be done. Next question?
Operator: The next question comes from the line of [Thomas Paul], AWP. Please go ahead.
Unidentified Analyst: Just a follow-up on your stepping up of your cost-cutting program in February, you announced the reduction of 250 jobs. Will this figure now be higher? Can you say something about that? .
Nic Dreckmann: Let me comment on this, and let's put the facts here straight. We have been announcing back in May 2022, a cost program around CHF 120 million. As of February 1st this year, we have actually been increasing this to CHF 130 million. And as we have seen a good traction and a lot of front-loading in all of these measures, we believe this will be until the end of 2025, ramping up to CHF 145 million, and that's basically where we are and where we stand right now. Next question?
Operator: That was the last question and I would like now to turn the conference back over to Mr. Nic Dreckmann for any closing remarks.
Nic Dreckmann: Okay. Thank you very much for listening, and thank you for all your questions. Let me quickly wrap up then. So today's solid results have shown that we have regained clearly momentum. We have set the groundwork to push for further growth in the second half. We continue to invest in targeted and in a measured manner for growth while keeping a very, very close eye also on our cost base. The second half of 2024 looks set to be volatile, as mentioned, but we are in a strong and stable position that helps us handling any surprises and making the most of arising opportunities. And with this, I thank you and wish you a good rest of today. Bye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call. Thank you for participating in the conference. You may now disconnect your lines. Goodbye.